Operator: Good day, and welcome to the SCI Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to SCI management. Please go ahead.
Trey Bocage: Good morning. This is Trey Bocage, Director of Investor Relations and Strategic Finance. Welcome to our second quarter earnings call of 2025. We will have some prepared remarks about the quarter from Tom and Eric in just a minute. But before that, let me quickly go over the safe harbor language. Any comments made by our management team that state our plans, beliefs, expectations, or projections for the future are forward-looking statements. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those contemplated in such statements. These risks and uncertainties include, but are not limited to, those factors identified in our earnings release and in our filings with the SEC that are available on our website. Today, we might also discuss certain non-GAAP financial measures. A reconciliation of these measures can be found in the tables at the end of our earnings release and on our website. With that out of the way, I will now turn the call over to Tom Ryan, Chairman and CEO.
Thomas Luke Ryan: Thanks, Trey. Hello, everyone, and thank you for joining us on the call today. This morning, I'm going to begin my remarks with some high-level color on our business performance for the quarter, then provide some greater detail around our funeral and cemetery results. I will then close with some thoughts about our earnings expectations for the rest of 2025. For the second quarter, we generated adjusted earnings per share of $0.88, which was more than an 11% increase compared to the $0.79 reported in the prior year period. We saw impressive increases in funeral revenue and gross profit, partially offset by slightly lower cemetery gross profit and higher corporate, general and administrative expenses, which when combined, resulted in $0.05 of earnings per share growth from operating income. Below the line, the favorable impact of a lower share count and a slightly lower net interest expenses resulted in an additional $0.04 of earnings per share growth. Now let's take a deeper look into the funeral results for the quarter. Total comparable funeral revenue increased over $15 million or about 3% over the prior year quarter, primarily due to solid growth from both core revenue and core general agency revenue. Comparable core funeral revenues increased by $8 million or about 2%, primarily due to a healthy 3.3% growth in the core average revenue per service, which was modestly impacted by a 20 basis point increase in the core cremation rate. The favorable impact from the core average growth was partially offset by a 1.5% decrease in core funeral services performed. Core general agency and other revenue grew by an impressive $7 million, primarily driven by higher average commission rates derived from our new preneed insurance marketing agreement, which were partially offset by a decline in insurance-funded preneed funeral sales production. Funeral gross profit increased by about $15 million, while the gross profit percentage increased by 210 basis points or about 20%. This gross profit increase was the result of the solid 3% revenue increase combined with managing our fixed costs below inflationary trends to about a 1% increase for the quarter as we continue to focus on leveraging our scale, both in the field operations through staffing metrics and in our overhead support functions. Preneed funeral sales production decreased by $29 million or about 9% over the second quarter of 2024. Core preneed funeral sales production decreased by $18 million or 7%, primarily due to the transition to our new preneed insurance provider in July of 2024. We anticipate comparable core preneed sales production growth in the back half of 2025. Non-funeral home preneed sales production decreased $10 million or 14% as SCI Direct transitions from the sale of trust to insurance- funded preneed contracts. This transition has required many of our sales counselors in certain states to go through extensive training, obtain insurance licenses and change the payment terms for customers financing their preneed, all of which contributes to a temporary reduction in the number of contracts written. As of today, we have made the transition in markets that represent 95% of our production. We expect that in early 2026 that we will experience year-over-year growth again for SCI Direct as a whole. Now shifting to cemetery. Comparable cemetery revenue increased by $2 million or almost 1%. Slightly higher core revenue and higher other revenue accounted for the increase. Our core revenue increase of about $1 million over the prior year quarter was primarily attributable to a $3 million increase in at-need revenue, which was partially offset by a $2 million decline in recognized preneed revenue. Within recognized preneed revenue, higher preneed merchandise and service revenues, which include recognized trust fund income were more than offset by lower preneed property revenue, which was negatively affected by a lower recognition rate on new construction compared to the prior year. While recognized preneed cemetery revenue declined due to lower recognition rates, comparable preneed cemetery sales production increased by almost $19 million or over 5%, driven by a healthy increase in large sales as well as a modest increase in core sales. While these incremental sales were deferred for revenue recognition in the second quarter, they should benefit future periods as we achieve the required payment criteria and/or complete construction of the project. Cemetery gross profit in the quarter decreased by $4 million and the gross profit percentage declined by 110 basis points, generating an operating margin percentage of 33%. Our modest revenue growth was offset by higher selling compensation on higher sales production. The profit decline was partially mitigated by less than inflationary fixed cost growth of 1% as we continue to focus on leveraging our scale, both in the field operations and in our overhead support functions. Now let's shift to a discussion about our outlook for the remainder of 2025. As you saw in the earnings release, we are confirming our normalized earnings per share guidance range of $3.70 to $4 for 2025, and we are raising our cash flow outlook due to stronger working capital trends in the business as well as anticipated lower cash taxes from recent legislative changes that were enacted. For the back half of 2025, we expect growth in revenues and margins for both the funeral and cemetery segments, resulting in impressive earnings per share growth versus the prior year 6-month period as well as compared sequentially to the first 6 months of 2025. We also expect both preneed cemetery sales production as well as preneed funeral sales production to grow at low to mid- single-digit percentages over the prior year 6-month period. Below the line, we expect the favorable impact from a lower share count will be substantially negated by a higher effective tax rate, particularly in the third quarter as we compare to a prior year rate reduced by the deductibility of excess tax benefits from certain stock option exercises, which is no longer deductible for us in 2025. In conclusion, I want to acknowledge and thank the entire SCI team for their daily commitment to our customers, our communities, and one another. Your skill, dedication, compassion, and attention to detail is the foundation of our success. While I know many of our professional team members help client families navigate painful loss every day, I would like to particularly recognize our Texas teams who have been caring for so many families impacted by the heartbreaking tragedy that occurred on July 4 in the Texas Hill Country. What I have witnessed and heard from countless friends and colleagues, including other independent funeral operators is that our teams have performed above and beyond. Thank you for being a source of strength, respect, and peace. Your grace and compassion will never be forgotten. Thank you all for making a difference every day. And with that, operator, I'll turn it over to Eric.
Eric D. Tanzberger: Thanks, Tom. Good morning, everybody, and thank you for joining us on the call today. To start, I really need to just continue some of the statements that Tom just mentioned and express all of our heartfelt gratitude to each of our associates. Again, your exceptional service and dedication make it possible for us to support client families during some of the most difficult times of their lives. Your hard work truly does make a difference, and we are appreciative and proud of all that you do to support the families as well as the communities that we serve. So with those statements, I'd now like to shift to beginning my remarks today, as I typically do, by providing highlights on our cash flow and capital investments during this quarter. I'll then make a few comments about corporate G&A, and I'll conclude with an update on our overall financial position. So we generated adjusted operating cash flow of $168 million during the quarter. Adjusting for $84 million of higher cash taxes, adjusted operating cash flow really increased $33 million from the prior year after making this adjustment. Let's break that down a little bit during the quarter. From an underlying funeral and cemetery business perspective, adjusted operating cash flow was supported by higher funeral and cemetery gross profits of just under $14 million during the quarter that Tom really just walked us through. Additionally, we had a net $43 million source of working capital in the quarter, driven by $20 million of higher cemetery installment receipts and $23 million, which were sources of cash related to the timing -- working capital timing of payroll payables and some other working capital items. Partially offsetting these increases, corporate G&A expenses increased and cash interest was also higher by about $14 million, which was due to the timing associated with the bond financing and coinciding reduction of our bank credit facility, which we completed last September of 2024. Lower rates on floating rate debt were largely offset by higher floating rate balances for the remainder of the quarter. Lastly, related to cash taxes, recall that prior year cash flow was favorably impacted by a change in tax accounting method that benefited cash taxes. Cash taxes of $94 million were significantly higher than the prior year by $84 million, which we fully expected and have communicated several times over the past few quarters. So now let's move on to capital investments. We invested $100 million in the quarter into existing locations, cemetery development, new builds, business acquisitions, and real estate purchases. So breaking down this spend, we invested $69 million of maintenance capital, primarily into our current funeral homes and cemeteries, which was in line with our expectations. $35 million of this was allocated to highly profitable cemetery development projects, $29 million into current funeral and cemetery locations and $5 million into digital investments and some corporate spend. We also invested $18 million of growth capital in the quarter to purchase real estate and for the construction of new funeral homes and cemeteries. Finally, we invested $13 million into business acquisitions in the quarter. And on that topic, we again remain optimistic about our acquisition pipeline and we anticipate achieving our $75 million to $125 million acquisition investment target for 2025 for the full year. So moving on to capital distributions. We returned a substantial $239 million of capital to our shareholders in the second quarter through $45 million of dividends and $194 million of share repurchases. We repurchased about 2.5 million shares at an average price of about $78 during the quarter, bringing the number of shares outstanding to just over 140 million shares at the end of the quarter. So year-to-date, we've repurchased 4.1 million shares at an average price of also about $78, returning a total of $320 million of capital to shareholders through this repurchase program. Subsequent to the quarter, we have completed another 0.5 million shares for about $39 million, which equates to an average repurchase price of about $79 million. So moving to our corporate G&A expense during the quarter. After adjusting for a $6.4 million pretax estimated charge for certain legal matters, G&A expenses increased $4.1 million quarter-over-quarter, which primarily was related to an increase in general and auto liability insurance costs as well as higher expenses related to the timing of incentive compensation accruals. We continue to expect the recurring corporate G&A expense will average somewhere around $40 million per quarter for the remainder of the year, although we fully expect there'll be some variability in this quarterly number due to our long-term incentive compensation plans that could push us above or below this during a particular quarter. So let's talk about the outlook now for the rest of the year. And as you saw in the press release, we revised and increased our 2025 adjusted operating cash flow guidance range to now $880 million to $940 million, which is a new higher midpoint, which equates to $910 million, which is $50 million increase over the original guidance midpoint of $860 million. About $30 million of this cash flow increase relates to cash taxes and another $20 million relates primarily to stronger-than-anticipated preneed customer installment receipts. After deducting $315 million of expected maintenance capital for the full year, we now expect very impressive adjusted free cash flow of almost $600 million for the full year of 2025. And as we have addressed for the past several quarters, cash taxes will revert to a more normalized level in 2025 compared to 2024, following a tax accounting method change that has benefited our cash flow since the third quarter of '23. Previously, we expected cash taxes to increase $150 million year-over-year. However, we now expect less of an increase due to the recently enacted federal tax legislation. While we continue to study the newly enacted law, we believe that certain components such as accelerated depreciation changes will now cause our 2025 cash taxes to rise only about $120 million year-over-year, which again results now in a full year revised estimate of cash tax of $145 million. As we've addressed in prior quarters, we also expect our effective tax rate to be 25% to 26% in 2025 as excess tax benefits are no longer recognized on the settlement of certain executive employee share-based awards. And again, Tom also covered that. So I'll conclude my comments this morning with an update on our financial position. We continue to have a very attractive and manageable debt maturity profile with significant liquidity. We ended the quarter with liquidity of about $1.4 billion, consisting of approximately $250 million of cash on hand and approximately $1.2 billion available on our long-term bank credit facility. Additionally, leverage at the end of the second quarter was 3.68x net debt to EBITDA, which again remains in the center of our long- term leverage target range of 3.5 to 4x. Our strong balance sheet position and this liquidity, combined with our robust cash flows, continue to support our capital investment program, providing us tremendous flexibility to invest opportunistically for the long-term benefit of SCI, our associates, and our shareholders. So finally, in closing, I want to reiterate how extremely proud we are of our entire SCI team. The way we continue to serve our customers in their greatest time of need is truly inspiring. Thank you for everything that you do. So with that, operator, this concludes our prepared remarks. And with that, we're going to turn it back over to you, and we'll open the call for questions.
Operator: [Operator Instructions] Our first question comes from A.J. Rice with UBS.
Albert J. William Rice: Maybe I have a couple of questions I would ask if that's possible. First, on the dip in the recognition rate in the current quarter. Is that just -- do you attribute that to the normal volatility you sometimes see in the cemetery production area? Or was there anything unusual that drove that? And it sounds like you think that's going to step back up to more normal recognition rate in the back half of the year, and therefore, you'll be able to book those sales. Is that the right way to think about it?
Eric D. Tanzberger: It is, A.J. I mean, any time that we are starting to build a new project or develop new parts of our cemetery, we obviously, at some point, release that to our sales force and kind of presell that project with consumers in our particular cemeteries. And as we all know, that essentially gets moved from production into revenues, which that ratio is the rec rate you were describing at the time the completion -- the construction project is completed. By definition, that's going to kind of ebb and flow. You usually see it in the low 90s in the first half and the higher 90s in the second half. What you saw in the press release of the low 90s is pretty sequentially consistent with what you saw last quarter. So what you should see in the back half of the year as projects complete and previously sold inventory gets recognized for revenues upon that completion is you're going to see that recognition rate raise in the second half of the year into the mid- to higher 90s. I think as a general statement, I think last quarter, we -- someone asked me about it. And I said, I think you're going to end the year somewhere around mid-90s in terms of that rec rate. That's very consistent with what we ended last year as well. So the punchline really, A.J., at the end of the day is the natural ebb and flow of this process that occurs. There's nothing in the quarter that's deviating from that ebb and flow, and we feel very good about it.
Albert J. William Rice: Okay. That's great. On the cremation rate, off and on for the last year, 1.5 years, we've seen the rate of increase seemingly moderate. I know you're up 20 basis points this quarter. Historically, we've forecast 100 to 150 basis points. That's created a revenue headwind that you've each year had to overcome. Do we think that we're entering a period where that pace of increase is going to moderate? Any thoughts on what you've been seeing in the cremation rate?
Thomas Luke Ryan: AJ, this has been kind of an ongoing debate between Jay and I, and I think he's winning. I think two things are probably impacting this. One is when you get to cremation rates in some of these larger metropolitan markets, they're already pretty high. So where you have a lot of volume, the cremation rate is probably starting to stall a bit because it's gotten to that level. And so the cremation changes are happening in probably more rural markets and places like that. And the other thing is just the demographic makeup. We probably serve a lot more consumers that are Hispanic customs, Asian customs, which may be lower cremation rates as you think about the population as a whole. So yes, we've kind of dialed back our expectations. I do think 20 is still a little low. But to probably say 50 to 80 isn't an area that we think probably as we go forward is our expectations.
Albert J. William Rice: Is there any way to translate that into at the 100 to 150 basis points, it's X percent headwind to revenue growth each year and now at the new 50 to 80, it's more like Y percent? Or is that probably a bridge too far?
Thomas Luke Ryan: I think what we used to say, we used to lose 1%. So think about it as if we put in a 3% price increase, it get us 2% with that old -- and now I think instead of a 100 basis point headwind, maybe it's more like a 50 is the way to think about it. So I mean, as an example, you saw our 3.3% increase in the quarter because the cremation rate was modest. That's an area that I think we can start to model in is closer to the 3% rather than in the old days of thinking more around the 2%, 2.5%.
Albert J. William Rice: Okay. And maybe just a final question on the comments around cash flow and the tax benefits from the federal bill, et cetera. Can you just, Eric, maybe comment a little more about what is stuff that you can realize this year? How much of a benefit versus stuff that's just going to persist? I know some of it is going to be permanent and some maybe just you taking advantage of things that are available on a shorter-term basis. Can you give us a little more flavor on how much this affects your thinking about long-term cash taxes?
Eric D. Tanzberger: Yes. I think it does affect it, A.J., frankly, because of the components of it. So when you talk about accelerated depreciation, you think like, okay, it would accelerate something and then the depreciation is done with. But what it really -- what you're accelerating are capital improvements. And we're going to have a consistent ongoing capital improvement program. So when you think of our maintenance CapEx of $315 million, we've always broken that down for you that the true piece of maintenance is somewhere around $125 million, $135 million. That's the type of stuff as long as it's less than 20 years as part of the tax depreciation tables is the stuff that makes it eligible now that wasn't eligible prior to this newly enacted law. And to me, that's not a onetime benefit. That's something that will continue over a period of time. There's other stuff such as software, internal use software that we create. Well, we do ongoing update our software and create our software. Some of our core software is homegrown, such as our HMIS system. So that's something that you're going to have to continue to maintain. Beacon is homegrown. We'll continue to maintain. We'll continue to expand. So look, it's early in the process for us to get it perfect. We definitely think there's a $30 million benefit to us from a cash tax perspective this year. And -- but I don't think this is a onetime thing. I think there's going to be some type of benefit similar to what I just described to you going forward as well from a cash tax perspective.
Operator: Our next question comes from Parker Snure with Raymond James.
Parker Snure: Just any comments on seasonality of funeral volumes in the back half of the year. It looks like the third quarter is a little bit of a tougher comp versus the last year. So just anything you would note in terms of your expectations for funeral volumes in third quarter versus fourth quarter?
Thomas Luke Ryan: You hit the nail on the head. As we think about -- and we use seasonality trends over multiyears. You would think that the third quarter from a volume perspective is a tough comp. The good news is preneed cemetery is probably an easier comp. And so I think as we think about the third quarter, we'd expect cemetery revenues to be really strong. Funeral will be a tougher comparison. And then as you get into the fourth quarter, I think it moderates a bit and you have a little more of a normal seasonality. So a good observation.
Parker Snure: Okay. And then I know just on payment terms in preneed cemetery, I know there was a mention of installment receipts in the prepared remarks in terms of working capital. Has there been any changes in the customer financing or payment terms in preneed cemetery, whether that be percentage of money down at the beginning or length of payment terms?
Eric D. Tanzberger: No, we haven't done anything materially in that area where we're lengthening installment terms or changing down payments or anything along those lines. Typically, you'll see us -- to recognize the revenue of undeveloped property, you have to get to 10% down. You typically have seen a pattern over the years where in the first half of the year, we have some incentives where maybe we're not getting 10% down, but knowing that the customer will pay into that by the full fiscal year, and that will get recognized in the back half of the year. That concept plays into the previous question on the call in terms of a lower recognition rate in the lower 90s and a higher recognition in the higher 90s in the second half of the year. But we're not materially changing. The truth to it is -- the installment payments are solid. They're strong. They're probably a little bit above our expectations, frankly. The consumer continues to hang in there in the cemetery segment. We continue to have a large jump in production that we all know about during the COVID years. And we probably underestimated how much of those installments are really going to kind of hang in there versus historical levels. And I think it's just done a little bit better and the consumer is a little bit better than probably what we ultimately modeled, which is $20 million of the $50 million raise in our midpoint of cash flow that we're very excited about.
Operator: Our next question comes from Tobey Sommer with Truist.
Tobey O'Brien Sommer: I wanted to ask a question about the financial benefit of the shift in life insurance partner. What sort of incremental benefit may you still get on an ongoing basis now that we've lapped the initial year? I'm not sure whether everybody was fully on board and fully sort of equipped to sell at scale, so there might be some ongoing benefits. So I'd love to get your thought there.
Thomas Luke Ryan: Yes. I think the incremental benefit is going to be in the type of insurance product that we sell, Tobey. So you get more benefit from a multi-pay versus a single pay, how much of your preneed sales streams going into pure insurance. If you're selling at levels in the mid-60s, low 70s, that's going to make a difference. So I think, again, as you mentioned, as people become more equipped to present the benefits of insurance that's something that we can focus on. But I also think having gone through this now, we feel like production is something that we can raise across the board. And that could be in the insurance product, it could be in the trust product. But we feel really good about our momentum going forward and growing whether it's an insurance product or a trust. But within the insurance bucket itself, it's the type of insurance product. And like you said, we've got counselors that are better at giving that presentation. We'd expect an ability to grow that bucket.
Tobey O'Brien Sommer: Quantifying that is if we're getting -- if we got 7% year-over-year kind of in the reported quarter, is it something that's going to be appreciable? Do you think it's a single point, a couple of points? How would you think about it numerically?
Thomas Luke Ryan: Yes, maybe a couple of points. I mean because, again, because you're lapping yourself and so you effectively have the similar rates that you had before. So now it just gets back to what is your production within that bucket. And the points that you're making are we've got a counselor that now is up and ready and sell insurance and knows how to do it, understands the benefit. So kind of just the normal perfecting the presentations. And so yes, that type of increase is not something we'd anticipate going forward.
Tobey O'Brien Sommer: Got you. My last question. From a pricing standpoint for preneed, have you changed the percent down payment required at all?
Thomas Luke Ryan: No.
Operator: Our next question comes from Joanna Gajuk with Bank of America.
Joanna Sylvia Gajuk: So first, just a follow-up or clarification. Did I hear it right you said preneed sales production expect to grow low to mid-single digits in both funeral and cemetery. So is that for the full year? And did I hear it right, does it mean that you expect faster growth? Because I guess the cemetery preneed sales production was expected to be up low single digits for the year? Or was it a comment for the second half?
Thomas Luke Ryan: Yes. My comments were specifically to the second half of the year that we think low to mid-single-digit percentages for both preneed funeral and preneed cemetery. And again, on the annualized guidance, I don't have that in front of me. But obviously, preneed funeral has been a challenge in the first half. We expect that to turn around in the second half and carry that momentum into 2026. We've kind of gotten through the -- all the impacts from change. In cemetery, Joanna, we feel really good about. We saw some great momentum, as I spoke to in the second quarter, both in large sales and in core sales, and we expect that momentum to continue in the back half of the year. So feeling good about particularly where we are in the cemetery sales cycle.
Joanna Sylvia Gajuk: So on the cemetery still for the year, I guess, it's going to be low single digits growth, maybe a little bit higher.
Thomas Luke Ryan: I think it could be low to mid. We can climb back into the mid too. I think we feel good about -- obviously, we need a mid- or to high single-digit back half to achieve that. But because the first quarter was a bit of a challenge. But the momentum in the second quarter, we feel pretty good. We can get back to low, but also mid for the year, again, depending on our success as it relates to large sales in core.
Joanna Sylvia Gajuk: Right. And that was my other question in terms of the other specifics because you did say you saw a healthy increase in large sales and modest growth in core. So I guess in Q1, the problem was the large sales were down to more like a $30 million or so in the quarter. So what was the number in the second quarter for large sales?
Thomas Luke Ryan: Like $52 million. So we had a great second quarter as it relates to large sales. And I think, again, that compares back to last year's quarter. I want to say $38 million, if I'm remembering correct. So pretty healthy increase. And again, you can't get too excited and too depressed either way because these sales come in a little bit lumpy. So we had really good sales in the second quarter. I'd say July is off to a really nice start, but we still got August and September. So we feel confident that momentum is good. Cemetery sales should be impressive in the third quarter and carry into the fourth quarter.
Joanna Sylvia Gajuk: Yes. And I guess if I might, a little bit different topic. So thanks for the July commentary that was good to hear that, too. But on a different topic around your cash flows, right, increasing, it sounds like the $30 million benefit on the lower cash taxes might be a sustainable number. So if that's the case, how should we think about capital deployment? Does that change your appetite, say, doing more deals or maybe some other capital deployment opportunities that you would kind of be more aggressive on given the higher cash flows?
Eric D. Tanzberger: Yes. I think it's more of the same of the formula, Joanna, that you've seen us done. I mean we're going to invest capital to the highest return. Certainly, we've done a lot in shares the first half of the year. I think you'll see some momentum there that will continue at least the shares at this level. But the M&A program is going strong. I know someone commented that we spent $30 million year-to-date and the guidance is $75 million to $125 million in terms of investment. I think we'll get there. I feel really good about the pipeline. Some of the deals, I mean, if we just get through our LOIs alone right now, we'd be into that guidance, frankly, and there's a lot more that we're out there discussing. So I think we'll get into that 75 -- I think that's a good guidance number for investment for M&A. Would we do more? Absolutely. The other thing that you have to remember, though, is -- are the greenfield investments that we're making, the new funeral homes and sometimes new cemeteries. This is a nice robust program, which we've told you -- this year alone, we're going to spend probably about $70 million on that. Could that go up? It's possible, but it takes time. That's a 3-year cycle. At any point in time, we have 30 to 35 projects that are in the pipeline. About 1/3 of those turn every year. And that's at a more better velocity than what we've had in the past, but we're excited about that. M&A has its benefits because you get EBITDA and cash flow right away, but so do these construction projects have these benefits where you can build exactly where you want and exactly what you want, especially having a modern celebration of life venue when we design these brand-new funeral homes. So there's a lot of opportunities out there, but they're not different than what we have talked about in the past, and we'll continue to invest as we can in both of those programs as well as the share repurchase program.
Operator: Our next question comes from Scott Schneeberger with Oppenheimer.
Scott Andrew Schneeberger: I have -- I think it's a grand total of three. Cemetery preneed, we just heard that you're doing quite well in large sales. Could you speak more on the core? Are you -- that sounded like that was strong as well, certainly relative to expectations. Are you selling up in the high tier? I believe the cutoff to get the large is 80,000. Are you up in the 50,000, 60,000, 70,000, or is it broad-based across that? And then part 2 of that question is, is this -- is what you're seeing overall velocity or volume trends speeding up? Or is it more from pricing, what you're getting in that preneed cemetery?
Thomas Luke Ryan: So on the core, it just wasn't as big of a percentage increase. Obviously, it's the biggest chunk of our cemetery production. So it was a nice increase. But percentage-wise, large sales was much bigger. It's really across the board. We're not seeing it at any specific point. And again, back to your velocity versus pricing, both of those were positive within the core for the quarter. So all signs are looking good. It's hard to find anything we don't like right now, at least in the second quarter production. So all is good and really across the board, no specific price points, Scott, that I'd point out to you other than the over 80 that you already mentioned.
Scott Andrew Schneeberger: Moving on to the next section. Funeral revenue per service, that was a bit higher than we expected. It sounds like the lower cremation rate is contributing. I'm just curious, how sustainable is this plus 3% going forward? And what will be the drivers behind that?
Thomas Luke Ryan: I mean 3.3% might be a little higher than you'd anticipate going forward. But yes, I think we're pretty comfortable in that 2.5% to 3% range depending on the cremation rate change. We're really focused on discounts. I think I have done a good job of managing those things. And the other piece that wasn't as impactful for the quarter is keep in mind, what's coming out of the preneed backlog. The preneed backlog has the component of what did you write the Corpus at when you wrote the preneed, which we've done a really great job, and then you get the compounded interest if it's a trust product. So those type of things can have an impact on the average as well. But I think as we think forward, Scott, I think we feel pretty good about being able to come close to that 3% if cremation mix changes that we're seeing in most recent years hold.
Scott Andrew Schneeberger: Great. Eric, I'm pulling you in from my last launch on too long the break here. The G&A, how should we think about that in the back half versus the first half? And maybe a little granularity on to what kind of changes and how we should model that?
Eric D. Tanzberger: Yes. I mean I think you're safe modeling it around that $40 million, $42 million type guidance that we've given you before. Maybe it's a little bit higher than what we've said before. But ultimately, when you talk about general liability and auto claims, those are going to be event specific, and they're going to ebb and flow. And we had a heavy amount of them during the quarter as we've talked about. And then the last thing that I would tell you is, and we say this in my remarks, we say -- and I've said this before, is the longer-term incentive comp accruals are going to move it. So yes, $40 millions to $41 millions, $40 millions to $42 millions is a good baseline for it. Could it be $44 millions if the comp accruals need to go up? Yes. Could it be $38 millions if comp accruals need to go down? Yes. So you got to remember that variability that's going to be a few million dollars as well. But generally, that's how I would characterize modeling it for the second half.
Operator: We have a follow-up question from Parker Snure with Raymond James.
Parker Snure: Just one more question. Just on the long-term growth algorithm of 8% to 12%. I know this year had a pretty strong benefit from the insurance transition. I mean now that preneed cemetery production is kind of comping at a higher rate, it's remained elevated post- COVID. Any thoughts that there's any change into the composition of your long-term growth algorithm? Or just now that preneed cemetery is kind of at an elevated rate, does that make it a little bit harder to grow on an organic basis? Just kind of any general thoughts on your long-term growth algorithm as we exit the year?
Thomas Luke Ryan: So Parker, I think we still feel very comfortable with that algorithm. There are some things that are -- that you point out that are tougher comps as you go forward, but I also think there's things that are going in our direction. Again, I'd point you back to SCI Direct. We have taken that business from a certain level of profitability down to essential breakeven. And it's all related to the way that we operate the business and the way the accounting works. And as you play that out, that should be kind of a natural growth business as more and more of that comes out of the backlog, it's going to be higher averages. So we've just got some, I think, positive trends in the business. We talked about the sales average being stronger on the funeral side. I still think demographics are going to play into both the funeral and the cemetery side. So we're very optimistic about the 8% to 12%. And I think there's some years coming up where we can go above that. So overall, we feel very good about the guidance we're giving you and continue to feel that way.
Parker Snure: Okay. And then sorry, I know I said one last one, but actually one more. The L.A. fires in Rose Hill, are you sensing that there's any kind of continuing or lingering just disruption in that market? Or are all your KPIs that you track that, that property is kind of tracking along as it should?
Thomas Luke Ryan: I think overall, obviously, there's so much -- the people are still dealing with so many things. And so you never want to belittle that. That's going to continue to happen for years and years. But I think as it relates to our business and our ability to sell, we're not seeing anything that's impacting that business related to that event. Unfortunately, people are still suffering. People are still trying to build their lives back. But it's not noticeable, I'd say, in the sales process today.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to SCI management for any closing remarks.
Thomas Luke Ryan: Thank you, everybody. I appreciate you being here, and we'll talk to you next quarter. Have a great week.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.